Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Koil Energy's Second Quarter 2025 Conference Call. [Operator Instructions] As a reminder, this call is being recorded today, Thursday, August 14, 2025. A detailed disclaimer related to Koil Energy's forward-looking statements is included in the press release issued Thursday morning and filed with the SEC. It is also available on the company's website, koilenergy.com or upon request. A reconciliation of non-GAAP financial measures used in the press release and on today's call is included in the press release and on the website. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date made. Koil Energy also undertakes no obligation to revise any of its forward-looking statements to reflect events or circumstances after the date made. At this time, I'd like to turn the call over to CEO, Erik Wiik.
Erik Wiik: Good morning, ladies and gentlemen. Thank you for joining us today. I'll begin with an overview of our second quarter performance. Following my remarks, Kurt Keller, our Chief Financial Officer, will deliver a detailed analysis of our financial performance. I'll then provide an outlook for the second half of 2025. Finally, we will be happy to answer any questions you may have. We had a challenging second quarter of this year. During the quarter, Koil Energy generated revenues of $5.2 million. The gross margin was 33% of revenue, driven in part by underutilization of direct labor capacity. Adjusted EBITDA was 3% of revenue -- were $163,000 mainly impacted by higher SG&A expenses related to additional head count and other growth initiatives. Compared to the second quarter of last year, revenue decreased 10%. While the revenue from service contracts increased 66%, revenue from fixed price projects decreased by 36%, caused by lower order intake in the prior 2 quarters. Our 2 biggest customers represented 72% of the revenue in Q2 last year. This year, their combined share dropped to 38%. Such fluctuations are not uncommon due to project cycles. But when 2 of our largest clients slow down their project work at the same time, the impact is more pronounced. The additional service work came from brownfield campaigns with both existing and new customers. We have increased the head count by 12 since last year, anticipating an uptick of activity for Q2. We However, project awards were delayed by 2 months on average. While our team responded to increased order intake with a record throughput in June, it wasn't quite enough to fully close the revenue gap created earlier in the quarter. The increase in head count is intentional and support our vision for growth. We remain disciplined in balancing growth with profitability, ensuring that these investments deliver near-term results. While they negatively impacted second quarter margins, they have positioned us to execute on the growth plan we have set for the company. We now have the necessary capabilities in place to successfully execute the increased workload we expect in the months ahead. And with that overview, I'll now turn the call over to our Chief Financial Officer, Kurt Keller.
Kurt Keller: Thank you, Erik, and good morning, everyone. As Erik mentioned, for the 3 months ended June 30, 2025, Koil Energy generated revenues of $5.2 million, a 10% decrease compared to revenues of $5.8 million in the same period last year. The drop in top line activity was most acute in the month of April. Results from May and June were much more robust. Gross profit for the quarter totaled $1.7 million or 33% of revenues compared to $2.2 million or 39% of revenues during the second quarter of 2024. While project level profitability was consistent with last year, reduced throughput, lower labor utilization and costs associated with starting operations in Brazil negatively impacted results. Selling, general and administrative expenses equaled $2 million for the quarter, up $696,000 from the prior year. The increase was largely due to the addition of key personnel and onetime investments to restructure and strengthen our administrative functions. Net income for the quarter was a gain of $61,000 in the second quarter, translating to breakeven earnings per fully diluted share. This compares to net income of $984,000 or $0.08 per fully diluted share recorded in Q2 2024. This reduction in earnings reflected lower contribution margins from fixed-price contracts, which were insufficient to absorb our fixed cost base. Turning to our balance sheet. As of June 30, 2025, Koil reported $5.1 million in working capital, including $2.2 million in cash and $5.6 million in net receivables. This compares to $5.7 million in working capital at year-end 2024, with $3.4 million in cash and $3.1 million in net receivables. The shift is primarily due to the timing of billing and collections tied to fixed price contract milestones. We remain highly focused on cost discipline and consistent execution particularly in terms of labor utilization. Our business carries significant operating leverage. And while that negatively affected our financial results during the first half of the year, with a solid backlog and a strong sales pipeline, we expect much improved financial performance in the second half of the year. I'll now turn the call back over to Erik for his closing remarks.
Erik Wiik: Thank you, Kurt. Before we address any questions, I'll provide an update on order intake and our outlook for the remainder of the year. We're pleased to announce the following: Koil Energy has been awarded a significant subsea tie-back project in the Gulf of America. The scrubber work includes subsea distribution equipment and commissioning services for a major international oil company. Koil Energy has also been awarded a significant cable management services project for a renewable energy project, including 5 months of continuous assignment for our service team. Koil Energy has been selected as a supplier for a major international greenfield project, which includes the design and manufacture of over 20 of our proprietary subsea flying leads. This represents Koil's largest project of its kind in nearly a decade and will be carried out over the next 15 months at our Houston, Texas facility. Additional service work is anticipated to be awarded at a later phase of that project. Our focus remains firmly on driving growth and executing our strategic plan. In addition to these major projects, our sales team continues to secure a steady stream of new service contracts, clear indicators of the momentum we are building. With these large wins, along with a robust pipeline of high probability opportunities, we are well-positioned to grow revenue over the next 4 quarters. In general, the global demand for subsea equipment and services is on the rise. This is due to a combination of: one, continued discoveries of large reservoirs in subsea basins; two, subsea tie-back opportunities to increase production of existing fields; and three, addressing the aging subsea infrastructure. Koil Energy is uniquely positioned to assist our customers in addressing all 3 categories. That concludes our prepared remarks today. So I will turn the call back to the operator to take investor questions. Operator?
Operator: [Operator Instructions] Our first question comes from Ian Cassel with IFCM.
Ian Cassel:
Intelligent Fanatics Capital Management Llc: Congratulations on a tough quarter and also on the new contracts. My question would be about the new basin opportunity in Brazil, which you've articulated in previous quarters. Just wondering if you could provide just a general overview and update on how that's going in Brazil?
Erik Wiik: Yes. Thank you, Ian. And that is a key investment activity for us and we are very active at the moment in Brazil. We anticipated or we expected that we will have a contract early next year. So that's part of our investment plan. I will not be surprised if we are able to get something this year towards the end of this year because of the high activity in that market as well as the great job our team in Brazil is doing right now, identifying and qualifying us for new opportunities. In the beginning, we probably will get some smaller jobs to -- which will allow us to add additional equipment to our facility, carefully hire a few people. Perhaps some of the work will be done in Houston dependent on the acceptance of that from the clients. So we will try to do a careful built out there and the prospects that we are bidding on right now reflect that approach. So we're looking forward to seeing something certainly beginning of next year, but perhaps something towards the end of this year.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Erik Wiik for any closing remarks.
Erik Wiik: Thank you, operator, and our thanks to all of you who joined our call today. We appreciate your interest in Koil Energy and look forward to the next earnings call. This concludes our call. Thank you. .
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.